Operator: Good morning, My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the 2013 Q1 Earnings Conference Call. [Operator Instructions] I will now turn the call over to Mr. Jack Jurkoshek. Sir, please go ahead.
Jack Jurkoshek: Good morning, everybody, and we'd like to thank you for joining us on our 2013 First Quarter Earnings Conference Call. As usual, a webcast of this event is being made available through the StreetEvents Network service by Thomson Reuters. Joining me today are Kevin McEvoy, our President and Chief Executive Officer, who will be leading the call; Marvin Migura, our Executive Vice President; and Cardon Gerner, our Senior Vice President and Chief Financial Officer. Just as a reminder, remarks we make during the course of the call regarding our earnings guidance, business strategy, plans for future operations and industry conditions are forward-looking statements made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. And I'm now going to turn the call over to Kevin.
M. Kevin McEvoy: Good morning, and thanks for joining the call. I'm happy to be here with you today. Our record first quarter EPS of $0.69 was above our guidance range of $0.55 to $0.60 and was up 47% compared to the first quarter of 2012. Year-over-year, all of our operating business segments achieved higher income led by Remotely Operated Vehicles and Subsea Products. We are well positioned to participate in the growth of deepwater and subsea completion activity currently underway, and our outlook for 2013 remains very positive. Given this outlook and our first quarter earnings performance, we are raising our annual 2013 EPS guidance. Our new guidance range is $3.10 to $3.30. 2013 is expected to be another record earnings year. We continue to anticipate global demand growth for our services and products to support deepwater drilling, field development and inspection maintenance and repair or IMR activities. Based on our historical seasonal quarterly earnings distribution, you might think that given our exemplary first quarter performance, we should be raising our EPS guidance range even more. There are 2 reasons we are not. First, our above-guidance first quarter performance was, to a large extent, attributable to an acceleration of the timing of forecasted work in our Asset Integrity and Advanced Technologies business segments. And second, our earnings forecast, as is customary for this time of the year, includes a significant amount of unbooked or speculative work. As always, our guidance range is consistent with our internal forecast. We simply have no basis to be more aggressive as our view of the 2013 has not changed much since our last quarter. Of course, we will revisit our earnings guidance after our second quarter results have been recorded and as second half of 2013 is underway. At the top of our guidance range, we are contemplating a growth in earnings of over 50% in just 2 years. And as you may recall, 2011 was also a record earnings year. Yesterday, we announced a 22% increase in our regular quarterly cash dividend to $0.22 from $0.18 per share. This underscores our confidence in Oceaneering's financial strength and future business prospects. I'd now like to review our first quarter oilfield segment results. Year-over-year, ROV operating income improved 16% on the strength of higher demand to provide drill support and vessel-based services, particularly in the Gulf of Mexico and offshore Africa. Our ROV days on hire increased 13% to the approximately 21,700 days. We also benefited from a 5% increase in average revenue per day on hire, which was driven by an escalation in vessel-based work. Sequentially, operating income improved on an increase in days on hire and an improvement in margin. The margin improvement was as expected due to unanticipated fourth quarter 2012 expenses related to our U.K. pension plan adjustment and vehicle umbilical repair and maintenance cost. Our fleet utilization rate during the quarter was 83%, up from 79%, both sequentially and year-over-year. We expect that our fleet utilization for 2013 will remain about the same as that of the first quarter worth 83%. Operating margin during the quarter was 29%, the same as 1 year ago, and up from 27% last quarter. We continue to anticipate a 30% annual margin for ROVs in 2013. During the quarter, we put 6 new ROVs into service and retired 1. At the end of March, we had 294 systems available for operation, up from 270 1 year ago. 3 of the new ROVs went to work onboard vessels and 3 went into drill support service. Our fleet mix during the quarter was 74% drill support and 26% on vessel-based work. This compares to a mix last quarter of 75-25 and a 78-22 percent split in the first quarter of 2012. We were experiencing a trend of growing demand to perform vessel-based work. Year-over-year, over half of our increase in days on hire was attributable to this activity. We still anticipate adding 30 to 35 vehicles to our ROV fleet in 2013, 24 to 29 during the remaining 3 quarters. Now turning to Subsea Products. Year-over-year, first quarter operating income improved 45% on a 24% increase in revenue due to higher demand for all of our major product lines. Margin improved 3%, principally due to the fact that additional support cost we have incurred to grow the business were spread over a larger revenue base. As anticipated, sequential operating income declined due to project timing. The 21% decrease on a 14% drop in revenue was due to reduced sales of tooling in Subsea Hardware and lower umbilical plant throughput. Margin consequently declined 2%. For the year 2013, we continue to forecast that Subsea Products margin will likely be lower than the 21% of 2012 due to the anticipated change in sales mix featuring a higher percentage of umbilical revenue. However, we still expect record segment operating income for the year. Our Subsea Products backlog at quarter-end was $776 million compared to $402 million at the end of March 2012 and $681 million at the end of December 2012. Year-over-year and sequentially, the backlog increase was largely attributable to umbilical awards and the BOP control system contracts we announced during the first quarter of 2013. As for our remaining business operations for the first quarter, Subsea Projects' operating income was higher year-over-year on a full quarter of work on a field support vessel services contract offshore Angola that commenced in February 2012. Sequentially, as expected, operating income declined due to seasonality in the U.S. Gulf of Mexico. Near the end of March, our 5-year vessel charter for use of the Ocean Alliance commenced upon completion of its shipyard modifications. We immediately put this vessel to work on an IMR job in the Gulf of Mexico. Asset Integrity operating income improved year-over-year on higher service demand in most of the geographic areas in which we operate. Furthermore, during the first quarter of 2012, this segment's results were adversely impacted by a low profit contribution from operations we acquired in December 2011 and for execution of a job in the U.S. Sequentially, operating income increased somewhat due to better job execution and a favorable service mix. Additionally, Asset Integrity's results during the fourth quarter of 2012 included cost we incurred associated with closing a nonprofitable operation in Sweden and a U.K. pension plan adjustment. Compared to prior periods, Asset Integrity operating income margin improved, as we expect it, to its normal double-digit range. Advanced Technologies achieved record operating income on the timing of completion of navy vessel and submarine repair and maintenance work, contract award fees and improved execution. In summary, our first quarter results were above our expectations and we look forward to realizing another year of record EPS performance in 2013. Our focus on providing products and services for deepwater and subsea completions positions us to participate in a major secular growth trend in the oilfield service and products industry. We were pleased with our cash flow generation capability as demonstrated by $160 million of EBITDA during the quarter. Capital expenditures for the quarter totaled about $94 million, of which $70 million was invested in ROVs and $14 million was spent on Subsea Products. Now let's talk about our 2013 EPS outlook. As I've stated earlier, we have raised our 2013 EPS guidance range to between $3.10 to $3.30. Compared to 2012, we expect all of our operating business segments will achieve higher income in 2013, notably, ROVs on greater service demand to support drilling and vessel-based projects, Subsea Products on higher demand for all of our major product lines led by Subsea Hardware, and Subsea Projects on a full year of work offshore Angola. I believe we are well prepared for the opportunities we face in 2013 and have the assets in place to take advantage of growing demand for our services and products. For 2013, we anticipate generating over $690 million of EBITDA. Our balance sheet and projected cash flow provide us ample resources to invest in Oceaneering's growth. Our CapEx estimate for this year, excluding acquisitions, is $300 million to $325 million. Of this amount, approximately $175 million is anticipated to be spent on vehicle upgrades and adding systems to our ROV fleet, about $100 million is for enhancing our Subsea Products' capabilities. Our focus in 2013 will be on earnings growth and investment opportunities for both organically and through acquisitions. Moving on to our second quarter outlook. We are projecting EPS in the range of $0.81 to $0.86. Sequentially, we anticipate quarterly operating income improvements from all of our oilfield business segments: ROVs due to an increase in fleet days on hire and some margin improvement, Subsea Products on the strength of higher demand for tooling in Subsea Hardware, Subsea Projects on a seasonal demand rise in Gulf of Mexico activity and Asset Integrity due to the normal seasonal increase in activity led by refinery maintenance and offshore production platform inspections in the North Sea. We are, however, forecasting this segment's operating income in quarter 2 to decline year-over-year. This is attributable to the acceleration of work into the first quarter of 2013 and an anticipated reduction in the amount of production platform work we performed during the second quarter of 2012 offshore Norway which was at an unusually high level. Looking beyond 2013, we remain convinced that our strategy to focus on providing services and products to facilitate deepwater exploration and production remains sound. We believe the oil and gas industry will continue to invest in deepwater as it remains one of the best frontiers for adding large hydrocarbon reserves with high production flow rates at relatively low finding and development costs. Therefore, we anticipate the demand for our deepwater services and products will continue to rise and believe our business prospects for the next several years remain promising. At the end of March 2013, there were a total of 94 new floating rigs on order. 65 of these rigs are not contracted to work for Petrobras in Brazil and we expect all of them will go to work for other operators. On these 65 rigs, 20 ROV contracts have been let and we have won 16 or 80% of them, leaving 45 contract opportunities left to be pursued outside of Petrobras in Brazil. At the end of March, 99 of the 142 existing high-spec drillships and fifth and sixth generation semis were contracted to operators other than Petrobras in Brazil. We had ROV contracts on 75 of these for a market share of 76%. If all 65 of the non-Petrobras rigs I mentioned are placed into service, this fleet of 99 will grow 65% to 164 rigs. So the visibility of the secular growth outlook for this market remains very promising and looking forward, we see no reason why we will not continue to be the dominant provider of ROV services on these rigs. Each additional floating rig represents an opportunity for us to put another ROV to work in drill support service. As the use of floating rigs grows, we believe it is inevitable that discoveries will eventually drive orders for Subsea Hardware to levels not previously experienced and demand for ROVs to support vessel-based activities should follow. If the trend of 3 vehicles in the global ROV fleet for every floating rig continues, we estimate that future demand growth for ROVs to support vessel work may exceed 180 vehicles at some point following the new rig in-service days. We estimate Oceaneering's market share of the vessel-based ROV fleet at about 20% and see no reason we will not at least maintain this share in the future. To meet visible growing rig in vessel service requirements, we are forecasting future demand growth for ROVs will be approximately 275 vehicles. So we anticipate the fleet will grow about 35% over the next several years. We expect to capture roughly 30% of this market demand growth or about 80 incremental vehicles. 45 to 50 of these will likely be in support of drilling operations, all of which, we anticipate will be in service by 2016. The in-service timing of the remaining vehicles for vessel-based work is indeterminate but will likely lag those required to support drilling. Quest Offshore's latest Subsea Hardware forecast for the period 2013 to 2017 includes an increase in tree orders of about 55% over the previous 5 years. In 2013, tree orders are projected to rise over 2012 by more than 25% to 523, an all-time high, eclipsing the previous record of 426 trees in 2006. While we don't make trees, orders for subsea trees drive demand for a substantial amount of the ancillary subsea production hardware that we manufacture. For example, Quest is forecasting nearly a 40% increase in umbilical orders for the 5-year period 2013 to 2017 compared to the previous 5 years. Umbilical orders in 2013 are forecast to rise to about 1,800 kilometers, up over 60% from the 1,115-kilometer level in 2012. Furthermore, renewed industry and regulatory emphasis on safe and reliable operations is providing additional opportunities for us to demonstrate our capabilities. With our existing assets, we are well positioned to supply a wide range of the services and products required to safely support the deepwater efforts of our customers. We believe Oceaneering's business prospects for the long-term remain promising. Our commanding competitive position, technology leadership and strong balance sheet and cash flow enable us to continue to grow the company, and we intend to do so. In conclusion, our results continue to demonstrate our ability to generate excellent earnings and cash flow. We believe our business strategy is working well over both the short- and long-term. We like our position in the oilfield services market and are leveraged to the growth of deepwater and subsea completion activity that is currently underway. The longer-term market outlook for our deepwater and subsea service and product offerings remains promising. Renewed industry and regulatory emphasis on reliable equipment and redundant safety features of deepwater operations has caused our customers to be even more focused on risk reduction. This elevates the importance of the utility and reliability of our ROV services and related product offerings and reinforces the benefit of our value sell. For 2013, we are anticipating that we will achieve another record year of EPS performance. We believe this distinguishes Oceaneering from any other oilfield service companies. We appreciate everyone's interest in Oceaneering. I will now be happy to take any questions that you may have.
Operator: [Operator Instructions] Your first question comes from the line of Ryan Fitzgibbon.
Ryan Fitzgibbon - Global Hunter Securities, LLC, Research Division: First question on the ROV side of the business. Kevin, I believe you mentioned day rates were -- increased about 5% sequentially. What was the reason for that? Is that just cost escalation or are you seeing some improvement in pricing?
M. Kevin McEvoy: It's mainly vessel-based increase in activity where on vessel-based, it usually requires a larger crew than it does in drill support and so day rates are consequently higher because of the additional crew for vessel activity.
Ryan Fitzgibbon - Global Hunter Securities, LLC, Research Division: And it's safe to assume that's higher-margin work or is that similar margin work?
M. Kevin McEvoy: It's similar. I mean it's just really the addition of the extra personnel required to operate a system on a 24-hour a day basis.
Marvin J. Migura: I think you get higher margin when the vessel works but you have more gaps in utilization than you do on drill support. So overall, we're pretty indifferent over the longer haul, as to whether or not it works in vessel service mode or drill support.
Ryan Fitzgibbon - Global Hunter Securities, LLC, Research Division: Got it. That's helpful. And then maybe, Kevin, a bigger picture question. You've -- you walked us through the ROV growth story and Subsea Products growth story on the umbilical side. You've grown your business 20% to 30% over the last 2 years. Is this kind of growth rate sustainable when you look out to '14 and 15? Or are there M&A opportunities you're looking at now? And if so, are there specific product lines we should be focused on?
M. Kevin McEvoy: Well, we certainly can't comment on M&A activity as you can look historically or backwards for the last couple of years. It's been somewhat sparked -- sparse apart from the larger acquisition we did at the end of 2011. Opportunities are kind of few and far between in our space and what ones we do come across are usually very highly valued. But in terms of the demand growth that we see, certainly, if you look at the rig building that is going on through 2016, which is a similar pattern to the last couple of years, we would anticipate the ability for similar growth at least in those couple of years going forward.
Ryan Fitzgibbon - Global Hunter Securities, LLC, Research Division: Okay, maybe if I phrase it a different way. When you look at capital allocation strategy, how would you rank, either your M&A, dividends or buy backs, at your current share price?
Marvin J. Migura: I think we first rank organic CapEx as our #1 focus and priority. And I think we have plenty of opportunities, as Kevin mentioned, to not only participate in the growth that's going on. And -- but as Kevin mentioned, the drilling rigs is a start of the exploration cycle, then we hope to follow up with just the increased number of rigs drilling. To have increased number of completion and development activities, it really has pulled through for our ROE vessel-based service, and particularly, our Subsea Products, and then later, as the infrastructure is being assembled and being maintained, it also improves our asset integrity outlook and vessel-based project business. So we see secular growth going on in the offshore deepwater, in almost every area and we hope to be able to expand our coverage into new areas such as now, we don't talk only about West Africa, we also talk about -- or we just talk about all of Africa. So #1 is organic growth, #2 is acquisitions. We don't have a product line hole that we're trying to fill but we do look for something that is very consistent with our existing products and services and particularly, we'd like to find a product that has a service component. And so growth is the #1 priority and then we've got an ongoing dividend program that we just announced. We increased by 22%, so that takes about, on an annual run rate, it would be about $95 million a year. And then, we'd like to buy enough shares back to at least maintain our EPS denominator over time and we have a lot approved by the board to do but we have no current ongoing plan that we execute quarterly.
Operator: And your next question comes from the line of Ole Slorer.
Igor Levi - Morgan Stanley, Research Division: This is actually Igor filling in for Ole. So it looks like your ROV utilization picked up sequentially and despite the first quarter typically being seasonally impacted by a lower vessel activity in the Gulf. And I think this is actually the first time in 6 years we've seen the first quarter utilization for ROVs up sequentially. So I mean is vessel activity that strong that it's more than offsetting the seasonality? I was just hoping you could address that.
M. Kevin McEvoy: Yes. I think certainly for this quarter, that is the case.
Igor Levi - Morgan Stanley, Research Division: Wow. So does -- what is the read-through here then for the vessels in your Project segment in the Gulf of Mexico and demand there?
Jack Jurkoshek: Ask that again?
M. Kevin McEvoy: Yes.
Igor Levi - Morgan Stanley, Research Division: So with increased vessel utilization on the ROV side and those vessels working more, what is -- what are the kind of prospects for your vessels in your Project segment in the Gulf of Mexico?
Marvin J. Migura: The Gulf of Mexico has been pretty weak. No, not pretty weak, it has been weak in Q1. I mean, the vessel-based work was outside of the Gulf of Mexico.
Igor Levi - Morgan Stanley, Research Division: Okay. So that was mainly -- all of that was -- which markets will you say that mainly came from?
Marvin J. Migura: I would say, it was increased -- Norway had a little uptick earlier than normal and then West Africa and Southeast Asia.
Igor Levi - Morgan Stanley, Research Division: Okay. And then my last question is when should we expect those large umbilical projects in the Subsea Products backlog to start coming out where that will have some impact on margins? Is that mostly -- most of that in 2014 or what's the rough timeline of that?
Jack Jurkoshek: For the year -- and we've said that we expect our margin to be lower than last year and the reason our higher percentage of umbilical revenue in '13. It just didn't kick in as we want.
M. Kevin McEvoy: So it starts later this year but it definitely impacts this year.
Jack Jurkoshek: Right.
Igor Levi - Morgan Stanley, Research Division: Okay. And then in '14 as well, is that -- that's probably coming out.
M. Kevin McEvoy: Yes, right. I mean, the big Petrobras order is a 3-year project.
Operator: Your next question comes from the line of Stephen Gengaro.
Stephen D. Gengaro - Sterne Agee & Leach Inc., Research Division: Two questions. The first one is a follow-up on the prior question. When he mentioned 2014 and the margins with the bigger mix of umbilicals within Subsea Products, would that be a similar type mix to '13 or does it get incrementally worse in '14?
Marvin J. Migura: Well, Stephen, we're really not going to go there.
M. Kevin McEvoy: No.
Marvin J. Migura: We don't have a '14 outlook that we're going to talk about. I would hazard a guess about what all is going to happen between now and the beginning of '14 that will influence our product margin mix.
M. Kevin McEvoy: It really -- right. It depends on the non-umbilical part of the business which we don't really have an outlook on for '14 at this moment in time.
Stephen D. Gengaro - Sterne Agee & Leach Inc., Research Division: Got you, that makes sense. I just figured I'd ask as a follow-up since you left it hanging there. The other part of the question, on the umbilical side, you've obviously -- you've seen orders, you've seen so better volume flowing through. Has there been any inklings of a price momentum anywhere yet or is it still sort of wait and see on that?
Marvin J. Migura: I don't think there's been any change in pricing momentum. I think people are starting to see that big oil is still looking for low prices in their development projects and there is still excess capacity in the umbilical side. So...
M. Kevin McEvoy: A lot of excess capacity.
Marvin J. Migura: Yes. And so we're -- we don't see pricing leverage.
Operator: And your next question comes from the line of Ian Macpherson.
Ian Macpherson - Simmons & Company International, Research Division: Just kind of flogging a dead horse here on the margin expression for ROVs, and I apologize, but when you look at your results this quarter, your utilization was up and your rates were up nicely versus the first quarter of last year. Your margins were down just a whisker versus the same period. And I think that you basically said that the margins are ambivalent between field support and vessel support with the caveat that utilization is more variable for vessel support and I get that. But are we still basically independent of the mix shift, expecting the run rate margin for ROVs to be in that 30%, low 30% range throughout the rest of this year? And should that be our framework in '14 even as your mix evolves?
Jack Jurkoshek: I think that's a good point.
M. Kevin McEvoy: Yes.
Marvin J. Migura: Yes, good point. Maintaining the margin at a 30% rate would be a good thing.
M. Kevin McEvoy: Kind of a lofty goal, but that's what we're trying to do.
Ian Macpherson - Simmons & Company International, Research Division: Okay. And then you provided, I think, very helpful indicators with regards to the seasonality or the Q2 look and expectations for Asset Integrity. And then when we think of Advanced Technologies, which also had a nice step-up in Q1, is there anything that we should think about with regards to the sequential progression of profits through the rest of this year or shall it be fairly linear?
M. Kevin McEvoy: With Advanced -- I mean you mentioned...
Ian Macpherson - Simmons & Company International, Research Division: Yes, with Advanced Technologies.
M. Kevin McEvoy: Advanced Technologies is going to be lower because they brought work forward that was forecasted not to occur until second quarter. So it's not like there was more business, it just came earlier than we thought.
Marvin J. Migura: And I think the government funding is really going to start to have some impact on that. So we're expecting no change in our outlook, we're hoping to hold forecast. But there's more downward force pressure on our outlook in the government-related work. It was just a timing issue that the Navy brought somewhere forward that we had in subsequent quarters. So do not -- definitely, do not project that as a run rate.
M. Kevin McEvoy: Right.
Operator: Your next question comes from the line of Jon Donnell.
Jonathan Donnel - Howard Weil Incorporated, Research Division: I had a question regarding the ROVs. In terms of the remainder that are scheduled to be delivered here for the rest of the year, how many of those are specifically earmarked now for vessels as opposed to the drill support? It sounds like -- and this is part of the business really picking up a lot here. I'm just wondered if there -- we'll get a little more information on that.
Jack Jurkoshek: Yes, the answer to that is based on what we know right now, it's only a handful. The majority of them are going in -- or are scheduled to go into drilling.
Jonathan Donnel - Howard Weil Incorporated, Research Division: Okay. And for these new ROVs that end up on the vessels, do they come with an initial contract that helps out that utilization right out of the gates? Is that somewhat what we saw in the first quarter for that? Or is it still more of just the shorter-term, more or less, call-out work that would be associated with those vehicles?
Jack Jurkoshek: They do come with contracts in place.
Marvin J. Migura: It's a combination of both, Jon. I mean some of them come with field maintenance contracts in place and others in areas such as Norway, where they get a new boat and a new call-out work, it'll come with more of a call-out basis. So we try to manage that and we look for the field maintenance contracts, but we're willing to put a new ROV on a boat if the outlook is good for its call-out business.
M. Kevin McEvoy: The mix is still far more on the call-out part of the market than it is on the long-term part of the market.
Jack Jurkoshek: Yes.
Jonathan Donnel - Howard Weil Incorporated, Research Division: Okay. And then just regarding the seasonality in the Asset Integrity business, as we look over the last, say, 4 quarters, first on the top line, it looks like, basically, the results are very flat. You don't see a lot of seasonality there. I know there have been a lot of moving pieces. But can you help us just sort of maybe understand as we look forward here, what a more typical run rate in that segment ought to look like at least from a top line perspective?
Marvin J. Migura: Hang on a second, let me see if we're going to have a comment on that or not. I think you really hit the nail on the head, that there's so many moving pieces that...
M. Kevin McEvoy: So many moving pieces.
Marvin J. Migura: We talked about the outlook for the second quarter and the amount of work that we pull forward, plus Norway was unusually high last year. But I think, there's not much variation in our outlook for the remaining 3 quarters. I mean, it does go up and down, the third quarter should be the peak. But I think, we'll just have to see how that unfolds as well as you do.
Operator: And your next question comes from the line of Justin Sander.
Justin Sander - RBC Capital Markets, LLC, Research Division: I have a follow-up question on the ROV utilization outlook. So 83%, very strong for the first quarter. And it sounds like your outlook for the full year of 2013 implies utilization kind of generally in that range for the rest of the year, even though it usually peaked -- a bit of a pickup in the mid part of the year. I was just wondering if you can help maybe provide a little bit more color on what's behind the progression here that drives you to think of an 83% number for the full year 2013?
M. Kevin McEvoy: Well, I think, the first quarter was unseasonably high for us, and from what we can see with a lot of -- particularly the vessel-based part of the business still being largely call-out, it's pretty hard to call anything higher than that at the moment. So that's what we're anticipating for the rest of the year. We just had a better-than-normal first quarter in that regard.
Justin Sander - RBC Capital Markets, LLC, Research Division: Okay. So you're expecting that to normalize throughout the rest of the year than in keeping utilization at that level?
Marvin J. Migura: Yes.
Justin Sander - RBC Capital Markets, LLC, Research Division: Okay. And so my follow-up on that is, I think, in the past, if you go back to 2007, 2008, we saw vessel mix as a percentage of the ROV fleet somewhere in the mid-30% range. Just curious to get your thoughts on how we can think about the vessel work progressing here over the next few quarters and if we can see something return towards that type of a mix here in the near-term.
M. Kevin McEvoy: I don't think so. I mean I think that time period that you referenced really was the height of the hurricane damage, repair activity in the Gulf of Mexico and there was an unusually large number of ROVs dedicated to cleaning up that mess over a several-year period there. So that was a spike in demand that we don't see reoccurring.
Marvin J. Migura: So much of that, Justin, was in shallow water as they were just assisting in the down platform removal and some repair. So I think, with the growth in the drilling rig fleet, I mean, it's going to take some time for us to slowly move that needle if the vessel-based activities come up to -- a lot like we did in Q1 was a little bit better than Q4 and the year-ago. So -- but I don't see a major shift like what we had back then.
Justin Sander - RBC Capital Markets, LLC, Research Division: Okay, I see. And just one other follow-up, if I can. So I think Marvin, you were going through a priority of capital allocation earlier and it sounded like heavy-weighting on organic CapEx. Obviously, a lot of room to work with, with the balance sheet. I just want to clarify, does it -- is it more of building out the same type of product offering in different geographic markets? That's what it sounded like, it was the case to me. I just want to confirm if that's the biggest driver you think of as far as organic growth.
Marvin J. Migura: I think it's both. I think it is increasing capacity in existing markets and building out new markets as they grow.
Operator: And your next question comes from the line of Tom Curran.
Thomas Curran - Wells Fargo Securities, LLC, Research Division: Returning to ROVs, on the drill support side, have you seen any indications, however slight, of specific large customers or markets beginning to move in the same direction as Petrobras in Brazil in starting to emphasize price more over value or conversely, beginning to stretch value even more? Either scenario, any examples of that? And then could you please just refresh us, in general, what percentage of your existing fleet on contract tends to renew each year?
M. Kevin McEvoy: Okay. I'll answer the first part. I mean, really, there's no big change that we see happening there. I mean, in terms of the market, Petrobras remains the only major customer that does not seem to take into account the value proposition of uptime and that sort of thing. And so we don't see any change in that with regard to other operators. I think that our market position demonstrates that the rest of the world does value that. And when we have the market share we do as a result.
Marvin J. Migura: Right. And I think, regards to the other side, the value sell being more readily accepted, it's a dogfight for every ROV contract that comes up. Our competitors are trying to cut the price enough to negate the value sell, so I wouldn't say that the pendulum is swinging the other way as well. And on your question about what percent of our ROVs roll over, we don't know. We do not track that. We track what percent of the rigs that we are on have contracts that are rolling over. And I think that's a very broadly known -- and I don't have the statistics, but I mean, what we look for is what's the opportunity for a rig that is coming up? And what's the mid-water depth rig's going to do? That's what seems to be the attention it's getting. But we haven't seen any change in our outlook as the -- right now, new rigs seem to be incremental demand as opposed to replacement. So we don't follow that because a lot of our contracts have 60-, 90-, 30-day cancellation for convenience clause. So looking at the rollover rate contract date doesn't matter match. If the rig's working, our ROV is going to be working if we're on it.
Thomas Curran - Wells Fargo Securities, LLC, Research Division: Okay. So it doesn't sound like there's been any changes there in the nature of how you deploy the ROVs on contract on the drill support side?
M. Kevin McEvoy: No.
Marvin J. Migura: No.
Thomas Curran - Wells Fargo Securities, LLC, Research Division: Great. Then on the -- turning to Subsea Products. The Subsea anti surge control package you've developed with Mokveld, in which Oceaneering provides the actuator and Mokveld, the rest of the system. That package just won an award for Asgard and has also been bid on the Ormen Lange commercial phase, correct?
M. Kevin McEvoy: I believe that's correct.
Thomas Curran - Wells Fargo Securities, LLC, Research Division: And any sense on the timing for the Ormen Lange award? I know you guys also won the pilot phase of that project for this system.
M. Kevin McEvoy: Right, we did, and I really don't have that information off the top of my head. But I mean -- but I think, these contracts, while they're interesting because of the new technology involved, they're certainly not needle movers for our business. And I guess over time, that electric market in general and actuators to go with that will steadily increase, but I think it's more associated with these subsea processing-type activities which -- they're going to be slow to come on but I think they're definitely coming on.
Marvin J. Migura: Yes. They're much talk about but we don't see a ramp-up that is meaningful in the short-term.
Thomas Curran - Wells Fargo Securities, LLC, Research Division: I completely understand how de minimis it remains on the financial side. But I do think you guys have proven to be sort of a stealth cutting-edge technology player. And so -- and definitely trying to stay on top of what all you're involved in out there, whether it's the Marine Well Containment Company or wet gas -- subsea wet gas compression. I have noticed that recently, in industry media, trade magazines and other periodicals, you have been highlighting your leadership in subsea electrification. More broadly when it comes to subsea electrification, are there any other projects or opportunities out there that you're focusing on this year as sort of a potential catalyst or milestone that Oceaneering is or could become involved with?
M. Kevin McEvoy: You mean outside of the electrical stuff you were mentioning?
Thomas Curran - Wells Fargo Securities, LLC, Research Division: Just -- yes, outside of the anti-surge -- the subsea anti-surge control package with Mokveld, any other projects or offerings?
M. Kevin McEvoy: On the -- as far as electric actuators, no. As far as other things that we're trying to do subsea, yes, there are some things that we are working on. And if we talk about them too much they wouldn't be stealth anymore. But we are providing flow line remediation services, have been for quite some time. These are basically hydrate remediations and we have some pretty good equipment for doing that. We're also doing some subsea chemical injection work, which we have developed some operating systems for. That's a low end of that sort of business from a volume point of view, but there are some applications that that is effective. And I mean, we're always looking for these kind of niche areas, technology areas. There's also the subsea inspection area that we've mentioned a few times in the past that the company that we bought in Norway at the end of 2011 had some technology in that area, mainly ultrasonics, in phased array, and we have, on our own, in conjunction with 2 other companies, been developing some subsea direct radiography capability. So I mean we're always looking at those sorts of things but when they start off, they're -- none of them are needle movers and you would -- we would create some false sense of expectation if we talk about every little thing that we try because sometimes it's hard to know whether it is a project type of activity or whether it really is going to be an ongoing business line that we can develop.
Thomas Curran - Wells Fargo Securities, LLC, Research Division: Right. And we do appreciate your conscientiousness on that front. But thank you for your comprehensive overview. That was helpful.
M. Kevin McEvoy: All right.
Operator: Your next question comes from the line of Jim Wicklund.
Jonathan Sisto - Crédit Suisse AG, Research Division: It's actually Jonathan. Kevin, I wanted to ask you -- I think you are at NORWEA last week and you'll be good voice on this. There's been some pretty high-profile project postponements as of late in the media and other publications. Is there anything that we, as the investor -- investment community, should be reading into about your Products business in the long-term, slowdown in orders or anything like that?
M. Kevin McEvoy: Well, I would say that so far, there are a couple of data points as you mentioned. I think that some of them are for reasons of what really is in the reservoir not being what they thought it was, and so that has caused maybe 1 or 2 to fall off the chart for the time being. And there are 1 or 2 that I've heard about, I don't know if they're in -- published, so I won't mention the names. But -- where the CapEx is coming in at the stage gate for approval process was a lot more than what the original AFE expectation was, and so they're putting the brakes on for that reason. But I would say that, obviously, if this sort of activity continues to increase and you start -- we start seeing a lot of data points of this happening then that will obviously have some implications for the industry in general and us accordingly. But so far, I would not characterize it as significant enough to say the sky is about to fall.
Jonathan Sisto - Crédit Suisse AG, Research Division: Appreciate that. And then secondarily, if I could cue in on something you said on the onset of the call, what would make you more aggressive about your view in 2013, if you can walk us through that?
Marvin J. Migura: A blowout second and third quarter.
Jonathan Sisto - Crédit Suisse AG, Research Division: So calm seas and winds out of the south?
M. Kevin McEvoy: Not really.
Marvin J. Migura: No.
M. Kevin McEvoy: I was going to tell him don't use that word, blowout.
Marvin J. Migura: Yes.
M. Kevin McEvoy: But a really good -- I think the Gulf of Mexico, probably more than anything, could be a mover in that regard if the non-drill support segment of that market really picks up more than what we are currently expecting it to, then that will obviously have a pretty positive effect and push us towards the upper end of the range.
Jonathan Sisto - Crédit Suisse AG, Research Division: Now you guys mentioned the Gulf, are there any other regions of the world that could be a tailwind that we're -- that you're just being conservative with, which I understand is your nature, but are there other regions?
M. Kevin McEvoy: I wouldn't say so. I mean, I think that the other regions are maybe a bit more predictable in their run rates right now compared to the Gulf of Mexico.
Marvin J. Migura: I think our visibility, 1 quarter out, is pretty good. Sometimes we get surprised like timing of Asset Integrity and AdTech this quarter, but I would say that even though we are "conservative", where we have pretty good visibility in what -- I think the point is with 38 rigs working in the Gulf of Mexico, the timing of the follow-up work in the Projects business, in the vessel-based business and the Products business is where we're looking for some upside. But it is all call-out. And right now, there's nothing booked that we could say could move forward. So I think it's a pretty reasonable forecast.
M. Kevin McEvoy: Yes.
Operator: And your next question comes from the line of Joe Gibney.
Joseph D. Gibney - Capital One Southcoast, Inc., Research Division: Just one quick one for me. Just on the Projects side, just a clarification. You referenced the commencement of the charter, the Alliance getting the work on an IMR job in the Gulf of Mexico. I know within your Projects forecast, previously, you'd indicated Gulf of Mexico ops flat year-over-year given some of the regulatory dry docks in your existing fleet. Has that forecast changed at all? Is it generally a flat expectation embedded in sort of your GOM portion of your Projects business?
M. Kevin McEvoy: It is still the expectation. I mean, we had that vessel on short-term charter at the of 2012 and decided to put it on a long -- longer-term charter to have that available to us. At the end of the quarter, it did go to work immediately on a project. But again, this is a call-out business and we don't have a long-term contract on it. It is project-by-project sort of business, and our outlook is pretty much the same as we've indicated previously.
Operator: Your next question comes from the line of Darren Gacicia.
Darren Gacicia - Guggenheim Securities, LLC, Research Division: I'm kind of referencing one of the prior questions. You'd mentioned kind of the build-out on a geographic basis. Is there a sense -- I mean, obviously, you're going to kind of follow the rigs, but is there a sense of kind of where you may need to build that geographically, and kind of a sense within the CapEx context but also within OpEx context of what we may have to expect there?
Marvin J. Migura: I think that's a great question regarding the OpEx context because when you go to East Africa, there is no infrastructure and you can't support the East from the West. So what you've got to see -- and the same about North -- what we are looking at is increasing in our indirect costs associated with shore-based activities. We're trying to do that as efficiently as you can. But I think you're right, we'll follow the rigs and we'll build out appropriately in leased space but it does take some facilities there. And regarding CapEx, I think what we look for is to build more equipment to support that and we may have to open a warehouse facility somewhere or an assembly place somewhere, and that's the kind of products support, AFEs or CapEx that we talk about when we say what we're spending our money on. It's just enhancing our capabilities in various local areas ranging from Norway to North Sea to Angola and beyond.
M. Kevin McEvoy: And East Africa.
Marvin J. Migura: And Australia. Yes. So...
Darren Gacicia - Guggenheim Securities, LLC, Research Division: Now so when I think about then -- and I kind of look to bucket sort of base costs, if you will, since it's -- I'm assuming that that's not going to show up in kind of the corporate like, that's going to show up in ROVs, Subsea Products, is there -- does it get kind of -- how does that get attributed just so I can understand how to think about things in a modeling basis?
Marvin J. Migura: It shows up in all the operating oilfield segments depending upon what the facilities are being used to support. And I think that's when we say things like we're going to try to maintain a 30% margin in ROVs. I mean that's all taken into consideration in our margin guidance.
M. Kevin McEvoy: And as you alluded to earlier in your question, I mean it does all follow the ROV, and so you end up starting off someplace with ROVs on a rig, and if it looks like there is going to be continuing operations there then the next thing you get is a small footprint in the area to house technicians and have repair parts and whatnot. And then tooling follows after that and then it just kind of builds depending on what the longevity is of the operating outlook for a particular area.
Marvin J. Migura: And hopefully IWOCS follows...
M. Kevin McEvoy: Right.
Marvin J. Migura: And things and then products, so -- but we're not building a new umbilical plant somewhere to...
M. Kevin McEvoy: That would be something else.
Marvin J. Migura: Support anyplace else, so -- but other than that, we're trying to enhance our capabilities to respond to growing demand globally.
Darren Gacicia - Guggenheim Securities, LLC, Research Division: Got you. If I could switch gears, one -- kind of one more follow-up here. Guidance towards 83% utilization is definitely above kind of recent kind of quarters over the last couple of years' run rate. And it seems like that's definitely a function of increased number of rigs coming on, et cetera, as you're getting some absorption on the fleet. What do you think kind of the -- if we're kind of looking at a run rate range, if you will, rather than just kind of a direct kind of guidance line, where do you think -- if things go well, where do you think that, that utilization can go? If one quarter's a little slower, so to speak, what's sort of the bottom end of the range especially given the fact that there's always been some seasonality in the business? What's the boundary we should be thinking as we forecast from here?
M. Kevin McEvoy: Well, I think -- I mean usually we get asked what is the maximum utilization that you can sustain? And we generally say it's around 85%.
Marvin J. Migura: Yes.
M. Kevin McEvoy: I think that -- and we're close to that mark, obviously, at the moment. But I think the driver behind that number or that percentage really is the call-out nature of the work that we participate in and projects stopping, starting, some ROVs being demode and remode and whatnot. So I'd say 83% is pretty high on a sustained basis and we feel pretty good about it.
Operator: [Operator Instructions] Your next question comes from the line of Ed Muztafago.
Edward Muztafago - Societe Generale Cross Asset Research: I was wondering if we could just sort of get a little bit of thoughts on your EPS progression throughout the year. You did $0.69 in the first quarter. Presumably if we take kind of the midpoint in your guidance and then look historically when you go from 2Q to 3Q, you all tend to have about sort of the mid- to high-teens increase in EPS on average, which would kind of imply something that's a pretty steep falloff in the fourth quarter. And I'm not sure if, perhaps, maybe we -- we're just not looking at the typical sort of second to third quarter EPS progression. Or is there something you're thinking about there just in terms of the way EPS plays out in the back half of the year?
M. Kevin McEvoy: Well, I think, if you take as a given that our first quarter over performance, if you will, was really attributable to stuff moving forward and the first quarter is traditionally the lowest EPS quarter of the year followed by the fourth quarter, I think that we're -- barring -- aside from what we managed in the first quarter, I think you would expect to see similar comparatives in 2, 3 and 4. At least that's what we're expecting now.
Edward Muztafago - Societe Generale Cross Asset Research: Okay. Yes, I just kind of just looking historically, if it kind of follow the normal pattern where fourth quarter was sort of in the range of second quarter, it just seems like it would put you above the high end of the guidance, and I just wanted to understand your thoughts there. I guess, as an unrelated follow up -- and I know we've talked on past calls about opportunity for putting sort of second ROVs on rigs. But just -- maybe we've asked this and I just don't remember, we've had something on the order of about 24 drillships that were dual BOP, at least capable if not equipped, in like the last 18 months. Did those rigs present sort of the -- an atypical opportunity to put a second ROV on the rig or is that not really applicable to a dual BOP rig any more than it is a single BOP-equipped rig?
M. Kevin McEvoy: Well the drillships were certainly designed with the capacity to take 2 ROVs, but we had not really seen that be a trend in the marketplace so far.
Edward Muztafago - Societe Generale Cross Asset Research: Right. And so I'm guessing in your negotiations to equip the dual BOP equipped drillships, it's still a single ROV in the discussions for the most part?
M. Kevin McEvoy: Yes.
Marvin J. Migura: Very much for the most part. Every now and then, we'll get a rig operator, an oil company that wants to, and we provide.
Jack Jurkoshek: I can tell you this. We have a list of all the new rigs that we expect to go into service this year and there's 3 of them that have requirements for 2 ROVs.
Edward Muztafago - Societe Generale Cross Asset Research: Okay. And are you far along in the discussions for the 2014 rig deliveries which effectively would be the -- at least the start of the dual BOP-equipped rig deliveries?
Jack Jurkoshek: Well we've already got several contracts in hand for '14.
M. Kevin McEvoy: Yes.
Jack Jurkoshek: The answer to your question is yes.
Operator: And there are no further questions at this time. And I'll turn the call back to your presenters.
M. Kevin McEvoy: Okay. So since there are no more questions, I'd like to wrap up by thanking everyone for joining the call. We are very pleased with our record first quarter results and anticipate producing another record year of EPS for 2013. This concludes our first quarter 2013 conference call. Thanks, and have a great day.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's conference call and you may now disconnect.